Operator: Everyone, thank you for standing by and welcome to the TE Connectivity Third Quarter Earnings Call for Fiscal Year 2025 [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the conference over to our host, Vice President of Investor Relations, Sujal Shah. Please go ahead.
Sujal Shah: Good morning, and thank you for joining our conference call to discuss TE Connectivity's Third Quarter Results and Outlook for our Fourth Quarter of fiscal 2025. With me today are Chief Executive Officer, Terrence Curtin; and Chief Financial Officer, Heath Mitts. During this call, we will be providing certain forward-looking information, and we ask you to review the forward-looking cautionary statements included in today's press release. In addition, we will use certain non-GAAP measures in our discussion this morning, and we ask you to review the sections of our press release and the accompanying slide presentation that address the use of these items. The press release and related tables, along with the slide presentation, can be found on the Investor Relations portion of our website at te.com. I would also like to take this opportunity to announce that we are planning to hold an Investor Day on November 20 in Philadelphia with a product showcase the evening before. We are excited to share more about our opportunities for growth and further value creation for our owners, and we'll be sending out details of the event shortly. Finally, during the Q&A portion of today's call due to the number of participants, we're asking everyone to limit themselves to 1 question and you may rejoin the queue if you have a second question. Now let me turn the call over to Terrence for opening comments.
Terrence R. Curtin: Thanks, Sujal, and thank you, everyone, for joining the call today. As I normally like to do, I do want to take a moment before we get into the slides to frame our results for our third quarter as well as our guidance for our fourth fiscal quarter. We are pleased that we delivered double-digit increases in both sales and adjusted earnings per share in the third quarter that exceeded our guidance and demonstrate our team's ability to continue to execute in a dynamic global environment. We delivered 14% sales growth and 19% adjusted earnings per share growth, and both of these are quarterly records for our company. A key driver of our success has been the strategic positioning of our portfolio and the investments that we've made to broaden our business to benefit from secular growth trends in both the Transportation and Industrial segments. The investments that we made will see that are paying off and are evident in our results as we're capitalizing on the strong demand for artificial intelligence as well as growth in energy applications where our products needed. We're also benefiting from strength in Asia in our Transportation segment, where we see increased data connectivity trends and ongoing growth of the electrified powertrain. You not only see the benefit of the investments on the growth side, but you also see it in our operations. We achieved record adjusted operating margins of 20% and record free cash flow generation of $1 billion this quarter. This is the result of our global manufacturing strategy, where we've invested heavily to have over 70% of our production localized, and this is providing to be a differentiator with our customers. And finally, we do expect our strong performance to continue into the fourth quarter with both double-digit sales and double-digit adjusted earnings per share growth again in the fourth quarter. So with that as a backdrop, let's get into the presentation, starting with Slide 3, and I will discuss some additional highlights and the guidance for the fourth quarter of fiscal '25. Our third quarter sales were above guidance at $4.5 billion, growing 14% on a reported basis and 9% organically year-over-year. We saw acceleration in our Industrial segment with over 20% organic growth that was broad-based and driven by our digital data networks and energy businesses. We delivered record adjusted earnings per share of $2.27 that was well above our guidance and increased 19% versus the prior year. Our adjusted operating margins were 20%, and they increased 60 basis points over last year, driven by strong operational performance by our teams. As you know, we've been on a journey to expand margins at the company level, and both segments are now essentially running at 20%. Importantly, to highlight, and we'll get into it in more details, the Industrial segment adjusted operating margins expanded nearly 400 basis points year-over-year. We also saw orders improve again this quarter to $4.5 billion, and this was an increase of 8% year-over-year as well as 5% on a sequential basis. And these order levels support our outlook for the double-digit growth in our fourth fiscal quarter. We delivered record year-to-date free cash flow of approximately $2.1 billion, and we returned $1.5 billion to shareholders, and we deployed $2.6 billion of capital for acquisitions in the Industrial segment, which includes the Richards acquisition that we closed this quarter. As we look forward into the next quarter, we do expect fourth quarter sales to increase to $4.55 billion, and this is growth of 12% on a reported basis and 6% on an organic basis year-over-year. Adjusted earnings per share is expected to be around $2.27, and this will be a 16% increase on a year-over-year basis. Our fourth quarter guidance implies strong performance in fiscal 2025 with high single-digit sales growth and double-digit adjusted earnings per share growth year-over-year. With that as an overview, now let me get into order trends, and I'd appreciate if you could turn to Slide 4. In the quarter, we saw orders grow to $4.5 billion. In Transportation, orders increased 5% versus the prior year, with growth in Asia of 17%, partially offset by declines in Europe and North America. The global auto market remains uneven by region, and we continue to see strength in our Asia position in both our orders and our sales, which is helping to offset the continued softness that we're seeing in Western markets. Looking at orders in the Industrial segment, we continue to see strong order momentum with 12% growth both year-over-year as well as sequentially, and this reflects ongoing momentum in artificial intelligence applications and in our energy and aerospace and defense businesses. One key sign that we saw in the quarter, and we're encouraged by is that we have improvement in orders that we're starting to see in the general industrial end markets. Now let me get into segment results, and I'll start with Transportation that's on Slide 5. Our Auto business grew 2% organically in the third quarter, with growth in Asia of 11% being offset by declines in Western regions of 5%. While Auto production on a global basis was down slightly in the third quarter, it is expected to be roughly flat this year. And we continue to generate growth over market and secure key wins around data connectivity and electrification that will drive future content growth. In addition to the leading-edge products and technologies, we are also benefiting from our strong global position and localization strategy, which enables us to serve our global customer base in this environment. Turning to our Commercial Transportation business. We experienced 3% organic growth, and this was driven by growth in Asia and in Europe, partially offset by declines in North America. We did see orders improve both year-over-year and sequentially, indicating that there is some traction in the commercial transportation cycle. And in our Sensors business, we saw weakness in end markets in Western regions, partially offset by growth in Asia. For the Transportation segment, adjusted operating margins were 19.4%, and we expect margins to be above 20% for the full year. Now let me turn to the Industrial Solutions segment, and that starts on Slide 6. And at the segment level, we grew 30% in the quarter with over 20% organic growth and the benefit of acquisitions in our Energy business. The Digital Data Networks business grew over 80% organically with increasing ramps from hyperscale platforms across our customer base. You see the strong growth, and I just want to remind you that AI revenues last year was $300 million. We now expect our revenue from artificial intelligence applications to be above $800 million in this fiscal 2025 year and continues to reflect the strong momentum that we've been talking to you about. In Automation and Connected Living, we grew 5% organically, and we are seeing signs of recovery in factory automation applications as markets have begun to improve. In our Energy business, our sales grew 70%, and this includes the Richards acquisition, which enables us to capitalize on strong growth opportunities in the North American utility market. On an organic basis, our Energy business grew a strong 20%, driven by continued momentum in grid hardening and renewable applications. In our AD&M business, sales grew 6% organically, driven by growth across commercial aerospace, defense and space applications. And in these markets, we see favorable demand trends that continue to be coupled with ongoing supply chain improvement. And in our Medical business, our sales were roughly flat sequentially as we expected. Now let me turn to margins for the segment. And for the segment, adjusted operating margins expanded nearly 400 basis points to over 20%, driven by strong operational performance and benefits of higher volume. I am pleased with the progress our team has made of balancing our footprint consolidation efforts with supporting the strong growth that we've had in the segment, and that's clearly evident in the growth as well as in the margins. So with that as an overview of our segment results and orders, let me turn it over to Heath to get into more details on the financials and expectations going forward.
Heath A. Mitts: Well, thank you, Terrence, and good morning, everyone. Please turn to Slide 7. For the quarter, adjusted operating income was $901 million with an adjusted operating margin of 19.9%. GAAP operating income was $857 million and included $30 million of acquisition-related charges and $14 million of restructuring and other charges. For the full year, we continue to expect restructuring charges to be around the $100 million level. Adjusted EPS was $2.27 and GAAP EPS was $2.14 for the quarter and included restructuring, acquisition and other charges of $0.13. The beat versus our guidance was driven by strong operational performance and higher volumes. The adjusted effective tax rate was 24% in Q3, and we expect a similar tax rate for the fourth quarter. As a reminder, the increase versus the prior year is primarily related to the impact of the Pillar 2 global minimum tax and our jurisdictional mix of earnings. But as importantly, and as always, we anticipate our cash tax rate to be well below our adjusted ETR. I'll now discuss a couple of housekeeping items. During the quarter, we saw the U.S. dollar weakened against other currencies, resulting in a year-over-year benefit from foreign exchange of $68 million in sales and $0.05 in adjusted EPS. Our Q4 guidance assumes foreign exchange contribution of $111 million in sales and $0.03 to adjusted EPS year-over-year. And these are part of the bridges in the back of the slide deck. The impact from tariffs in the third quarter was approximately 1.5% of sales with minimal earnings impact. Based upon what is currently enacted, we expect the impact from earnings in Q4 to be similar to Q3 levels. With our global footprint, we will continue our strategy of mitigating tariff impacts through both our sourcing changes by TE and our customers as well as implementing pricing actions. Turning to Slide 8. When you look at the graphs on the slide, we have set records in sales, adjusted operating margins and adjusted earnings per share. I do want to focus on cash flow. Cash from operations was nearly $1.2 billion and free cash flow was $962 million in the quarter. Year-to-date, we have delivered free cash flow of roughly $2.1 billion, and we expect to deliver another year of free cash flow conversion well above 100%. Our cash generation and healthy balance sheet position us well and provides us optionality with uses of capital. So far this year, we have returned approximately $1.5 billion to shareholders and deployed $2.6 billion for acquisitions. Before I turn it over to questions, let me reinforce that we are executing well to deliver record results and have positioned the company to continue to deliver strong performance and value for our owners. I am pleased with the way our team is performing, the results we are delivering and the opportunities ahead of us. We are well positioned for a strong finish to the year, setting us up for further growth and earnings expansion as we go forward into our next fiscal year. As a reminder, that starts October 1. Now let's open it up for questions.
Sujal Shah: Okay. Thank you. Can you please give the instructions for the Q&A session?
Operator: [Operator Instructions] Your first question comes from Scott Davis with Melius Research.
Scott Reed Davis: Terrence and Heath, Sujal. Congrats on positioning the company well this year, particularly around the AI stuff, which I need to ask about because it's topical, obviously. But is that business now when you think about $800 million, which is just a big number really when you think about where you were just a couple of years ago. But is that business now fully ramped and scaled, meaning like profitability at or above company levels? How do you think about that?
Terrence R. Curtin: Yes. No. Thanks, Scott. And to your point, I said it on the call, last year, we had in just AI application about $300 million of revenue, and it's up -- it will be above $800 million this year. And when you look at where we're even run rating now this quarter, it will be above $1 billion next year. So it has been something from the scaling side. Our teams have done an exceptional job trying to keep up with the demand. When you look at the growth we have, it is on ramps. And when you look at the margin that we get in this business, it's not surprisingly, it is a little bit above where the Industrial segment plays. And I think you're going to continue to see nice conversion on that as that continues to ramp. And I still think we're sort of middle of the early innings in this and what we're working on with next-generation programs with our customers. And like we've always said and as we've talked about AI, we're playing a broad slate of the hyperscalers. It isn't one customer here and how our teams are bringing not only the technology that's needed on the product set, but then to your question around the operations side. Our team is executing very well to really make sure we can deliver the technology at the pace that the hyperscalers expect. So that momentum, we feel good about. Certainly, we see that not only being in '25, we see that continuing into '26.
Sujal Shah: Okay. Thank you, Scott. Next question please.
Operator: Your next question comes from Amit Daryanani with Evercore.
Amit Jawaharlaz Daryanani: Terrence, in June quarter, something that really stands out. I think everyone is just the broadening in both growth and the margin performance across your portfolio. The double-digit growth in industrials really stands out. So can you just talk on what's driving this diversification and growth that we're seeing in June? And then really related to that, the industrial segment margins achieving 20%, I think, much faster than any one of us expected. Can you spend a little bit of time on kind of what factors contributed to this outperformance? And how sustainable do you this margin levels are?
Terrence R. Curtin: Yes. No, thanks, Amit. And let me break that into probably 2 pieces. I'll talk about the growth, and I'll ask Heath to talk about the margin journey that you've all been following with us. So first off, when you think about the growth, and let's face it, we have an unbelievable position in transportation that we've always talked about. But really, when we think about -- when we make investments and you think about what we do, which is across these markets is really connectivity is a couple of key trends that we've been investing in is around where do you need data, where do you need higher speed data. And AI, to Scott's question, is front of mind. But also realize when we deal with things and we talk about software-defined vehicles, it's around where we're strong and where those trends help us. So it does come to a big point of those data speeds. And you see that in Industrial, we benefited from in Transportation, but also in places like factory automation, you have data speeds that are needed. And that's why we like our position there and to your question, broadening out. The other big trend is its connectivity around power. And in Energy, we've made investments around our go-to-market and our product set. You see it in the organic growth that we've had now for -- goes back pre-COVID. And in this quarter in energy, it was 20% organic growth. And then we've deployed capital in M&A there. So it does come around power connections and no different than power connections we have where the architecture changes in the car for the electrified powertrain. So it's things we do good. Yes, we have to be targeted to create value with our customers. But you're seeing that throughout our results, and you see both segments contributing. And that's the broadening that we get excited about because it's things that we have been investing in. And certainly, you see them in this quarter's results. Heath, do you want to talk about the margin side of his question?
Heath A. Mitts: Sure. Amit, I appreciate the question. Certainly, we're pleased with the progress that we've made in the Industrial segment margins as it's been a journey to work its way from the mid-teens into the high teens and now cross over the 20% threshold for that business. But we would expect these level of margins at these volumes, right? So we've done a lot of footprint work in the Industrial segment, as you are aware. And we've been pretty transparent that this restructuring journey that the segment has been on to reduce some of the rooftops as we've undertaken. So as you get that both combination of reduced fixed cost out of those fewer facilities and then the scale that we get and the volume leverage we get when we start to see these volumes, it's not a huge surprise to us, and we would have that level of expectation. Now some of the things we're benefiting from around the Energy sector, particularly in North America and the AI business within our GPN business unit certainly helps. But all pieces of the segment are contributing towards this journey and certainly aligned with what our internal expectations are. So we're happy to get there sooner, but certainly, it's come as the top line has been supported.
Sujal Shah: Alright, thank you, Amit. Can we have next question please.
Operator: Your next question comes from Mark Delaney with Goldman Sachs.
Mark Trevor Delaney: I'm hoping you can comment more on your view about the sustainability of the current fundamental strength. And if you think any of the current demand is due to customers prebuying in order to mitigate tariff risk?
Terrence R. Curtin: Yes. No, thanks, Mark, for the question. And we don't see any meaningful impact to pull-ins. In our product set, when we look at things and we talk to our channel partners, we don't see that. Certainly, I think you may see that a little bit more in semiconductors, but we do not see any meaningful pull-ins. And I think that goes back to the orders that we talked about back when I covered slide, I think it was 4. And when you look at it, both year-over-year and sequentially, we saw nice growth, and we also saw growth year-over-year in both segments. Now it's evident when you look at the slide, you look at the Transportation line that you just sort of see something that looks very stable. But as I said, Asia is strong. Western car production is still weak. It is down mid-single digits in the West between the U.S. and Europe. And then you're also getting into elements of what they're making. There are less electrified vehicles just due to the trends there. So Asia is an area where we continue to see strength and half of our revenue in Automotive is Asia-driven. We also saw commercial transportation. We continue to see growth outside the United States in commercial transportation. So North America is the one area that continues to be soft in commercial transportation. But one of the things we were encouraged by is we saw sequential improvement in global orders. So maybe we're seeing some traction there. And then in the Industrial segment, Mark, it is, I think, the continuation of the AI momentum that we already talked about. Energy continues to have strong orders. North America is very strong in orders and the Energy space, so that's going to continue. We'll benefit from what we did with orders in Richards from an M&A perspective. And then the Aerospace business continues to be strong. We do see supply chains improving. And what was nice in the Industrial segment I talked about was in our Automation and Connected Living, we started to see encouraging signs about improvement in orders. And we're going to continue to watch those to see what shape they are. But it's nice to finally see after a couple of years where it's been down. There's some encouraging signs there. And they're pretty broad around the world. It isn't just one region. It's broader than that. So finally, I think there's more upward potential there than what we've been talking about over the past 2 years. So durability feels good. Clearly, it's reflected in our guide. And some of these are real trends, secular trend driven. When you think about electricity growth, you think about what's happening with AI, which gives us even more confidence because around those trends.
Sujal Shah: Thank you, Mark. Can we have the next question, please.
Operator: Your next question comes from Luke Junk with Baird.
Luke L. Junk: Terrence, I was hoping we could maybe touch on the industrial book-to-bill, especially any timing-related impacts we might be seeing there in terms of AI that could be causing some distortion plus or minus? And maybe if you just comment on AI awards, specifically, I'd be especially interested in anything above and beyond this continued acceleration in like-for-like growth that you're seeing maybe relative to both the hyperscaler opportunity and chip makers as we step into '26?
Terrence R. Curtin: Yes. So let me take the second part first. When you look at where it at, I would just say it's the momentum is continuing. I don't think there is an incremental platform or an incremental customer. It's really where we have been strong. We continue to see momentum there. And as we've always talked to you, Luke, and everybody else, we have to play across the ecosystem to really win here. It has to be with the chip makers, with the hyperscalers with obviously the contract manufacturers that put the equipment together that really supports the growth on top of technology. So I think when you look at it, you're going to continue to see those that we've had traction and continue, and it's pretty broad, which gives us the confidence that I've talked about already. In Industrial, the orders are broad-based improvement, like I just answered to Mark's question. And even if you look sequentially, essentially every business in the industrial business, orders improved sequentially. So it is broad-based momentum. It isn't like there's one AI order in there that's taking the orders up. It's broad-based across the markets. And I think that reflects the tone that I just handled with Mark. So that's one of the things that's encouraging that in some areas that have been down, we see signs of life in areas that have been strong continue to stay strong.
Sujal Shah: Thank you, Like. Can we have next question, please.
Operator: Your next question comes from Joe Spak with UBS.
Joseph Robert Spak: I guess just maybe following along those lines, Terrence, I mean, it sounds like everything you think is at least sustainable. I think you and we would all sort of expect sort of continued growth. So I mean, how should we think about a new sort of aspirational target for the company as we think out here a couple of years -- margin target, sorry?
Terrence R. Curtin: Margin-wise?. I'm going to let Heath take that.
Heath A. Mitts: Joe, I appreciate the question. It's something that internally that we work through as well, but looking at where the growth is, certainly, we are focused on a total company margin. But as we look at our businesses, respectively, both at the segment level that we report to here as well as we run the business day-to-day in all of our business units, we really look at incremental flow-through and the incremental flow-through on that organic revenue growth. And as we do that, we do target businesses to be at 30% or better. There are some that have a little bit of self-help work that we've spent more money on restructuring in. And in those cases, they always a little bit more flow through because we've got to pay for some of those that benefit of that restructuring. But in aggregate, that's kind of how we measure what success looks like as we move forward. That will have the natural impact as we hit those targets over a cycle, the natural impact of gradually moving that margin up. And then we obviously layer on the inorganic side on top of that, those come in all forms and fashions.
Sujal Shah: Okay. Thank you, Joe. Can we have the next question, please.
Operator: Your next question comes from Christopher Glynn with Oppenheimer.
Christopher D. Glynn: A question on the Energy segment. I'm wondering the renewable energy and the grid hardening, the degree of codependence of those 2 versus maybe some independent drivers supporting the 2 call-outs there. And if you're starting to see Richards kind of cross-sell or bilateral pull creeping in there and if the run rate you're seeing here are just really structural lift or some particular periodic stream?
Terrence R. Curtin: No, great question. I think just let me peel that apart a little bit here. First off being, I think when you look at both trends that we position around. It starts with electricity growth is the common trend. When you deal with grid hardening and renewables, they are independent. They don't have to be completely interlap because there can be things you're doing on the infrastructure to secure the infrastructure. That doesn't mean it's a renewable energy source. So they are separate as you click down. Now that being said, Richards is much more aligned to what we do in grid hardening. It has really broadened what we do in grid hardening in North America. So if you look at our North American business before Richards, which was around $600 million, probably only $1 million of it was in grid hardening. Richard's is all grid hardening. So we get much more exposure to grid hardening with Richards. We do view down line, we could repurpose some of the Richards products for renewable applications, but I would not say that's in the results because we are still in the middle of how do we increase the capacity to serve the current opportunity in the grid hardening side. But I do think down the road, that will create revenue opportunities. And in the growth that we had this quarter of 20% organically, even without the M&A, North America was much stronger than that. The trend around renewables, we are continuing to see strength there as well as in the grid hardening. So we still think this is an area that will drive nice growth. Certainly, we think we're positioned well, and we'll also look for opportunities where we can strengthen it both organically and inorganically.
Sujal Shah: Right, thank you, Chris. Can we have next question, please.
Operator: Your next question comes from Samik Chatterjee with JPMorgan.
Samik Chatterjee: Terrence, maybe I'll go back to something you mentioned in the Q&A earlier, which is you still think we are in the early innings in terms of the AI opportunity. There's also an investor perception that maybe you're a bit early innings in terms of market share opportunity as well in terms of AI, particularly related to your peer company. Maybe if you can sort of highlight where -- how do you think about market share between -- that you have between hyperscalers versus the chip companies? And where do you see more opportunity on that front as we look forward?
Terrence R. Curtin: Well, to your question, and I said it earlier, Samik, thanks for that question, is we have to play with everybody here. When you sit there, let's face it, some people design their own chips and TPUs. In other cases, they leverage the leaders chips. And to really win, you have to make sure you're playing with everybody in the ecosystem. I cannot stress that enough. I like our broadness and I think that can create market share opportunities in the future. And we also have to make sure we ramp the programs that we've won. To Scott's first question, these programs are ramping, and we got to make sure we capitalize on it. So I think from a technology, we're extremely well positioned. I think there can be share opportunities in the future. But right now, it is, hey, we got to capitalize on the growth. And you're seeing that growth went from that $300 million to $800 million, and we expect to grow even more as we go into next year. So thanks for your question.
Sujal Shah: Thank you, Samik. Can we have the next question, please.
Operator: Your next question comes from William Stein with Truist Securities.
William Stein: Great quarter. I was going to focus on AI, but I feel like that's been covered pretty well already. I'd like to ask about a couple of -- well, at least one weak spot anyway. Book-to-bill was slightly below 1, and it looks like that's driven by Transportation. Can you talk about what's dragging that? And is it even an important metric for us to focus on?
Terrence R. Curtin: So a couple of things. I think it's a metric to look at. I would say when you look at our guide, I wouldn't over dwell on it. What you do see is in Transportation, the automotive market typically declines sequentially going from our quarter 3 to quarter 4. And we do expect that trend to continue. So that will impact. We did see orders come down, but that's more with a seasonal trend. So auto production, we believe, was 21 million units in the third quarter. We expect it to be closer to 20 million in the fourth quarter. So we do expect a sequential decline in production, Will. And that's really driving the book-to-bill when you have that type of trend, but we would normally see that this time of year. So it's not concerning to us. And hey, all of it's included in the guide that we just went out with for the double-digit growth at the company level.
Sujal Shah: Thank you, Will. Can we have the next question, please.
Operator: Your next question comes from Colin Langan with Wells Fargo.
Colin M. Langan: Congrats on a good quarter. I just want to ask a little bit about the organic growth in transport and auto. I thought the long-term target was to be 4% to 6% over market. I thought you were trending at the low end. I think S&P is up 2% on light vehicles. So it looks like you're kind of in line with market growth in that segment. Any color there? And how should we think about that? Is that being impacted by all the EV pushouts in the U.S. and Europe?
Terrence R. Curtin: No, it's a great question. And first off being, we view that auto production declined about 1 point in the third quarter, and we grew 2 points. So we had about 3% outperformance where we are running a little bit below our 4% to 6% really has to do with the unevenness of the world. In Asia, we're growing 11% on a 4% production growth of cars. So we really are seeing that content outperformance with the West being down 5% in production, our content is a little bit higher in the West. That does pressure the overall calc. I think we're going to be around 400 basis points in the fourth quarter. But the unevenness in production right now is impacting what you see in the overall content. We still feel good about the 4% to 6%. But right now, we're getting a little bit of pressure due to Western production levels being light. And that will correct at some time, but you're seeing that in the growth over market.
Sujal Shah: Thank you, Colin. Can we have the next question, please.
Operator: Your next question comes from Joe Giordano with TD Cowen.
Joseph Craig Giordano: Can you talk about price a little bit? And how was that in the quarter end? And just curious how you think about that going forward? Like I believe that most of your price was surcharges related to tariffs. And if we're going into like a de-escalation phase here, can price turn into like a modest headwind maybe on the top line with like better margins coming through?
Terrence R. Curtin: Yes. Let me talk about price a little bit, and I'll talk about it. There's the tariff impact versus normal pricing environment. In the tariff side of things, when we guided last quarter, we thought that tariff cost would be about 3% of our sales. Due to all the policy changes, it came in about half that number. So about 1.5 points and as Heath said in his pre-remarks, we -- it had no earnings impact. So our teams mitigated through the strategy that we talked about last quarter. How can we do things from a supply chain perspective, both ourselves and our customers and where we can't do that. We implemented pricing and the bigger impact in our Industrial segment. So really, where you see where we did do pricing. It's really in the Industrial segment. But it wasn't as big of a number as we talked just due to the policy changes. And in our guide, we basically assumed with what was enacted, it will be similar to what we just did in quarter 3. So our guide for the fourth quarter sort of assumes that same impact that we had in quarter 3. And as we've talked about just overall pricing without surcharges because they are the tariff surcharges, as we've talked historically, the bigger driver of where pricing goes from here will be material cost. We're continuing to watch that closely. I think you're going to continue to see areas where we have that. We'll be positive in price in our Industrial segment. And that's just something we're going to keep in front of us because, obviously, some things are jumping around right now. But we feel how we're managing it and continuing to pull the levers we can pull to minimize the impact on earnings, feel the teams are doing a good job.
Sujal Shah: Alright, thank you Joe, can we have a next question please?
Operator: Your next question comes from Wamsi Mohan with Bank of America.
Wamsi Mohan: You're going to be exiting this fiscal year with very strong momentum. Any thoughts on early puts and takes on fiscal '26 and sort of this momentum of high teens EPS growth. Is that something that we should be underwriting? And I know you just noted the impact of rising, let's say, copper pricing at least. And so if you could sort of frame that in that thought process around '26, that would be great.
Terrence R. Curtin: Yes. I think when you look at '26, and I just think some of the things we talked about and let's face, as Sujal talked about Investor Day in November, Wamsi. So we have to make you come to that. So I think what you see is the growth momentum we have, I think, is clear and certainly we'll keep in front of us. And I do think it comes through the fall-through on the volume from here. We've done a lot of structural work. You've seen the benefits of it certainly with what we put up here. But I think it's going to be the fall-through on the growth that I think we have proven the operations of TE and you see it in many of the businesses and markets that we're in, which does create strong levers for fall-through that gets to double-digit earnings. And the other thing is while that's a P&L view, I don't want to lose sight of what we've done on the cash side. Cash conversion this year will be over 100% again, and that provides the optionality that Heath talked about, whether it is deployed to owners or as we did with a couple of acquisitions this year to strengthen some of those secular trends that were around. So I do think the levers are there to continue this. Certainly, we need to continue to execute. But I also think, like I said in the pre-comments, the investments we made and how we got deeper into some trends just broadened out some of the growth factors that we had versus historical.
Sujal Shah: Alright, thank you, Wamsi. Can we have the next question please.
Operator: Your next question comes from Asiya Merchant with Citi Group.
Asiya Merchant: Great. Just some early thoughts, if you may, on the passage of this one big beautiful bill and perhaps offsetting some macro pressures that may be a function of tariffs? Like any early thoughts on that? And one, if I may, again, on the cash flow. I mean you guys have talked about optionality here with strong free cash flow generation. Just some thoughts on where you would like to use that optionality as it relates to the acquisition front? And where do you -- and how is the pipeline looking for those acquisitions?
Terrence R. Curtin: Yes. Let me talk about the first one and then I'll let Heath talk about the pipeline there. First off being -- we're a global company, we play all around the world. And like we sort of said, some of the things where we've invested to make sure we strengthen ourselves from a localization are things that I think are evident in our results. And there are some areas like when you think about Energy, that will certainly help us and continue to help us. But we're going to be focused more on our customers to really make sure how do we bring the innovation to them around the world where we can play. And do we have the supply chain to capitalize it to make sure we can win our fair share and then gain share. So the bill itself touches a lot of things but let's also realize TE is a global company and how we deploy our innovation and our manufacturing is all over the world. So there'll be some things that I think we position ourselves well for that's in the bill. But net-net, we also have to realize the trends we have are global, and that's just sort of factor of electronics. And Heath, why don't you talk about the capital side of things?
Heath A. Mitts: Sure. We have been obviously more active this year with a couple of deals, particularly in the Energy space, one, a sizable deal with Richards. As we look forward, not just for the remainder of our fiscal year, the next couple of months, but certainly into FY '26. The pipeline does look good. Now it's bolt-on in nature. So the types of things, that doesn't mean they're small, just like Richards was a sizable check we wrote, but was a bolt-on for our Energy business. And so we see things coming kind of in all shapes and sizes that are out there. Some are more interesting than others. But the beauty, particularly of our Industrial business is that it's a fairly fragmented landscape of things out there where there, in some cases, has not been a ton of consolidation. And in those opportunities where it makes sense, we think we're in a good position to deploy capital to do that. So we're pleased with what we've done to date. We always work in the pipeline and the cultivation efforts. It's nice to have the strength of the balance sheet behind us and the cash flow that we generate to be able to look at things of all different sizes and be able to make multiple bets. And that should be what you'll continue to see us do as we move through the near and medium-term future.
Sujal Shah: Okay, thank you Asiya. Can we have the next question, please.
Operator: Your next question comes from Steven Fox with Fox Advisors.
Steven Bryant Fox: I was just wondering on the AI growth that you talked about, the 80% growth, how successful you feel you are in just keeping up with demand? And what kind of investments do you see yourselves making into next year, whether it's capacity or maybe you're being pushed to expand your product set with the customers?
Terrence R. Curtin: So first off, we have been investing ahead. And even if you look this year, Steve and Heath can probably add more color, our capital this year is up almost 30%, CapEx had been 30%. And the vast majority of that has gone into AI. So we have been investing ahead. And that's something that goes back to the first question of how are you making sure you have the capacity in place that can absorb the volume what our customers are expecting as we get the program win. So I feel we have been investing. I feel we're continuing to look at how do we expand for more -- even more flex capacity to make sure we're well positioned to continue to drive the growth. But I feel it's real-time investment that's going there, and you see it in the numbers to scale from $300 million to $800 million. That's massive and these are products that are new-to-world type products. These are not just making things that we've made for 40 years. This is cutting-edge technology on the high speed and it's a real testament to what our DDN team has been ramping. And in some ways, what we did and learned back when we had the cloud home about 4 years ago. We did it then, and we've just continued to expand to make sure these type of opportunities around high speed, we can capitalize on.
Sujal Shah: Right. Thank you, Steve. Can we have the next question, please.
Operator: Our final question comes from Shreyas Patil with Wolfe Research.
Shreyas Patil: So as we look at the company today, you're delivering 20% EBIT margins in both segments. I believe you have additional restructuring savings coming through in 2026 based on prior actions and some of the higher-margin segments appear to be turning a corner. So how should we think about the trajectory of margins from here? Are there strategic investments you think the organization needs to make that may offset the incremental margins you're getting from just the strong top line growth?
Heath A. Mitts: Sure. Listen, we've been making investments. So when you think about the run rate of our existing profile, whether that's on operating expense investments, which are primarily around engineering or the capital investment that Terrence just referenced that help us build out the manufacturing capacity in different parts of the world. Largely, those are embedded in our run rate. So there will be things that we will have trade-offs on. We may invest certainly in some of these areas like around AI that have shorter cycle times that need quicker ramps and trade those off with other areas, but that's what we do every day in terms of managing to that. At times, we take the total number up or the total expense up. And other times, we absorb it within there. But I don't think you're going to hear us come out and say, well, our margins would have been this if we didn't do this. That's not what we're all about. I do think as you go into next year, balancing all this though, with the growth opportunities that are in front of us, which are very broad-based. I mentioned earlier, probably a 30% incremental flow through and I think that's probably for a modeling purpose is a fair way. And listen, when you start getting volumes higher, you could see that tick up. And when you start to see volumes in low mid- single digits, that gets pressured a little bit. But in aggregate, relative to our business model, that's kind of how we think about it.
Sujal Shah: Okay. Thank you, Shreyas. We want to thank everybody for joining us this morning. And if you have further questions, please contact Investor Relations at TE. Thank you and have a nice day.
Operator: Today's conference call will be available via replay beginning at 11:30 a.m. Eastern Time today, July 23, on the Investor Relations portion of TE Connectivity's website. That will conclude the conference for today. Thank you for participating. You may now disconnect.